Operator: Good day and thank you for standing by. Welcome the Calibre Mining Corporation 2021 Q1 Financial Earning Results and Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that this conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Ryan King. Please go ahead sir, thank you.
Ryan King: Thank you, operator. Good morning everyone and thanks for taking the time to join the call this morning. Before we get started, I'd like to direct everyone to the forward-looking statements on Slide 2. Our remarks and answers to your questions today may contain forward-looking information about the company's future performance. Although management believes that our forward-looking statements are based on fair and reasonable assumptions, actual results may turn out to be different from these forward-looking statements. For a complete discussion of the risks, uncertainties and factors which may lead to actual operating and financial results being different from the estimates contained in our forward-looking statements please refer to our 2020 annual MD&A and 2020 AIF available on our website, as well as on SEDAR. And finally all figures are in U.S. dollars unless otherwise stated. Today present with me on the call are; Darren Hall, Dustin VanDoorselaere, John Seaberg and Mark Petersen. We will be providing comments on our first quarter results and our growth strategy. After which we will be happy to take questions. The slide deck we will be referencing is available on our website at calibremining.com under the Events section. You can also click on the webcast to join the live presentation. And with that I'll turn the call over to Darren.
Darren Hall: Thanks Ryan. Turning to Slide 3. Good morning, everybody and thank you for taking the time to join us on our Q1 earnings call. To serve a year ago, we initiated a self imposed temporary shutdown as the world faced a rapidly evolving COVID pandemic. Fortunately, within 10 weeks, we recommenced operations after implementing rigorous controls, aligned with international best-practices. It is pleasing to report that these controls continued to be proven effective, with only five confirmed COVID cases within our 3,000 plus employees and business partners during the first quarter. As we continue our journey to Zero Harm, I'm encouraged by the team's commitment to improving our safety culture, which was rewarded with a 45% reduction in our Q1 lost time injury frequency rate compared to full year 2020. I would like to take a moment to recognize all of our employees and business partners for their continued focus which delivered another solid quarter, well done to the entire team. Before discussing the Q1 numbers, I think it's important to take a moment to acknowledge the progress the team has made over the last 18 months. We have delivered against production and cost guidance quarter-on-quarter. We have net of 2020 mining deflation increased our mineral reserves over 200% to 864,000 ounces, which is not only the largest consolidated reserves since 2010, it is also the highest reserve rate on record. We have implemented our hub-and-spoke operating strategy, demonstrating its significant value creation potential through the bottleneck in Limon, de-orphaning satellite deposits like Pavon, and resulting in a cogent multiyear plan for Libertad before considering any exploration upside. It is important to note that prior to the transaction, Libertad was anticipated to move into closure during 2020. We commenced production from our high grade Pavon Norte mining spoke, progressing from permit to plant in less than 18 months. We acquired the remaining 70% of the Eastern Borosi District, completed fulsome geological and technical reviews, which has identified an exciting opportunity to add additional high grade mining spoke. During the quarter, we commenced infill drilling and technical studies with the intent of being in a position to declare reserves and more importantly, commence permitting within the next 12 months. On to Q1 results, we delivered 45,452 ounces at a total cash costs of $979 per ounce, and all-in sustaining costs of $1,095 per ounce, generating $16.6 million of net income and adding $5 million in cash. Moving of our solid Q1 performance, we remain on track to deliver our 2021 guidance of 170,000 to 190,000 ounces at a total cash costs of $950 to $1,050 per ounce, and all-in sustaining costs of $1,040 to $1,140 per ounce. With the improved confidence in our multiyear outlook afforded by the more than 200% increase in mineral reserves, our exploration programs have been expanded to include growing resources at our emerging districts and generative drilling. Given Nicaragua's prolific history of gold production, it is somewhat surprising how much of the country remains relatively underexplored beyond the known producing and historic gold mines. During 2020, we took steps to more than double our portfolio of 100% iron mineral properties and concession applications, bringing our total land position to over 2,000 square kilometers the exclusive of our Rio Tinto joint venture properties. We currently have 15 drill rigs operating and our exploration teams continue to see excellent opportunities for delineation of new resources and growth, which Mark Petersen will talk to you shortly. Turning to Slide 4, I believe the 100% owned Eastern Borosi District is an extremely exciting opportunity to reinvest organic growth. During the quarter, we initiated infill drilling and technical studies as a risk was to your own Guapinol and Vancouver deposits. We acquired a significant portion of the required necessary surface rights to develop the deposits putting us in a favorable position to progress Eastern Borosi as our next high grade mining spoke. Given the high grade nature of these deposits, we believe that this opportunity could represent our highest grade and lowest cost ounces to-date. In addition to increasing confidence in our existing mineral resources, we see excellent opportunities for resource expansion and new discoveries throughout the Eastern Borosi District. Now I'd like to introduce Dustin VanDoorselaere our VP Operations to provide an overview of our Q1 operating results. Dustin has been with the company since March 2020, and before joining Calibre was COO at First Majestic Silver. Over to you, Dustin.
Dustin VanDoorselaere: Thanks very much, Dan. Turning to Slides 5, we had a strong quarter with consolidated production of 45,452 ounces from almost 420,000 tonnes milled at an average grade at 3.5 grams per tonne gold, with a combined recovery of 91%. Higher production was driven by 39% consolidated grade increase over Q1 2020. The mines production largely came from Limon Central open pit, resulting with 16,337 ounces of gold at a milled grade of 4.4 grams per tonne in line with the mine plan. As Dan mentioned, we recently announced the 200% increase in reserves, which included initial reserve estimate at Pavon where we have been advancing underground development. We began prepping the mine in Q1 and during Q2 we will begin mining the initial scopes in the Pavon sales. We expect to see increased tonnes and a higher grade contribution from Panteon going forward. Additionally, we have begun development to the Atravesada result from embedded ore of underground mine. Atravesada is expected to commence production in early 2023. It was not included in our multiyear outlook. Libertad production increased to 29,115 ounces, as initial higher grade Pavon Norte ore came online replacing much of the lower grade stockpiles, increasing overall grade approximately 88% to 3.2 grams per tonne versus 1.7 grams per tonne gold in Q1, 2020. During the quarter we began Pavon to Libertad ore haulage, which averaged approximately 350 tonnes per day. We expected to gradually increase to 1,000 tonnes per day by the end of the year. The Montreal Libertad ore haulage remain steady and we continue to optimize transport in grades as we expect higher grades coming from Panteon. With the rise in WTI prices, our team continues to look for opportunities to improve productivity and reduce costs demonstrated by the renegotiated power costs, which are down approximately 24% to $0.16 per kilowatt hour from $0.21 per kilowatt hour during 2020. With that, I'll hand over to John Seaberg to take you through our financial performance.
John Seaberg: Thanks Dustin. Just turning to Slide 6. During the quarter, we sold 45,882 ounces of gold at an average realized price of $1,788 per ounce for revenue of $82 million. This drove net income of $16.6 million and basic earnings per share of $0.05. During the quarter we generated $25.5 million in operating cash flow providing the opportunity to reinvest $20.7 million in exploration, property plant and equipment and mine development at Limon and growth opportunities like Pavon, Panteon and Eastern Borosi. During Q1, we added $5 million to the treasury and in the quarter of $58.2 million in cash. We will continue to deploy a disciplined capital allocation strategy as we see attractive opportunities to reinvest into the business, while strengthening our balance sheet. Overall, I'm very pleased with our financial health. We continue to have strong cash flows. We're debt free and unhedged, affording us the ability to continue to reinvest in the new projects and exploration. I'll now hand over to Mark Petersen to walk you through our exploration and growth platform.
Mark Petersen: Thank you, John turning to Slide 7. During 2020, we made significant exploration progress and our drilling programs paid-off with the additions of the Atravesada and Panteon mineral resources at Limon, identification of new gold vein systems at Libertad with Tranca and Amalia and materially increasing our mineral resources two-fold. Given Nicaragua strong mining history, and its position with Central America's largest gold endowment, we see significant opportunities for continued resource growth and discovery, both at our operating mine sites and across our broader portfolio of mining and exploration concessions. In addition to Limon and Libertad, we've established a strong strategic position in the country that includes the districts scale Pavon and Eastern Borosi properties, as well as multiple less explored yet highly prospective exploration concessions. We've initiated a pre-pronged exploration strategy that encompasses a combination of Brownfields’ resource expansion, new resource delineation and development, and Greenfields’ generative exploration. Our generative program is focused on identifying new discovery opportunities on our earlier stage concessions, as well as less explored areas around Limon and Libertad. It involves traditional boot leather prospecting and field mapping in combination with the latest methods in geochemistry, geophysics, and remote sensing to rapidly generate and systematically drill test targets as we advance toward our next discovery. Since we launched our generative program last July, our team has identified highly prospected, yet under explored vein systems at all of our 100% own properties. We recently commenced first pass drilling on the high-grade [00:12:48] target at Libertad and in June, we will begin drilling the test of four newly recognized vein systems at our satellite Amalia Nispero concessions located 35 kilometres away from Libertad. During 2020, we also expanded our land position with applications for - seven new exploration concessions in the regions surrounding Libertad and Pavon, which we expect to have approved within the coming months. Additionally, a key component to our 2021 program is a 7,000 line kilometer airborne geophysical survey, which we are mobilizing right now. The survey will be especially useful identifying extensions to gold mineralization below cover as we finalize targeting decisions for this year's 10,000 meter reconnaissance drilling program. Our emerging districts program is focused on adding ounces through step out drilling at Pavon Norte and Pavon South Central, where we have two drills active. Also at Eastern Borosi, where we have six drills turning to upgrade resources for conversion to reserves at the high-grade Guapinol, and Riscos de Oro gold vein systems. Over the past 10 years, approximately 32,000 meters of drilling at Eastern Borosi has successfully outlined our current 700,000 ounce inferred resource there. We believe significant discovery potential remains untapped at Eastern Borosi as Darren noted in his opening remarks. During the second half of 2021 our generative exploration team will add two drills to commence an initial 7,500 meter reconnaissance drilling program at Eastern Borosi to test multiple earlier stage targets that have been recognized along the four regional scale vein trends extending across the project claim block. Finally moving to our mining operations at Limon, three rigs continue to delineate additional high-grade, high margin ounces at the producing Santa Pancha and Veta Nueva the deposits, as well as our newest ore bodies Atravesada and Panteon. At Libertad four rigs are active in a combination of resource extension, new resource delineation and first pass drill testing of new targets. In all, we have 15 rigs operating with two more on the way. In the coming weeks, we expect to announce initial results from our Q1 resource expansion program at Limon and Libertad. Finally as recently disclosed, a first pass drilling campaign has begun on our Rio Tinto explorations earn in JV which Calibre operates. This initial 5,500-meter program is targeting five areas of prospective copper-moly, and copper-gold mineralization that had little or no previous exploration drilling. We currently have one drill operating and expect to add a second drill in the coming weeks. Since Calibre delivered Nicaragua's first porphyry copper-gold discovery at Primavera in 2012. Our entire team is very excited to have the exploration drills turning again in the district. Because as we all know, discoveries happen at the face of the drill bit. With that, I'll hand it back to Darren to conclude the call.
Darren Hall: Yes thanks Mark. Turning to Slide 8. For the balance of the year reliable cash flow from operations will allow us to reinvest in the business to unlock value through the drill bit, and advance our highest-grade deposits at Eastern Borosi. I'm proud to announce that the team has initiated the process of meeting the World Gold Councils responsible gold mining principles. And as our first step towards compliance we will be completing a Readiness Review in Q3. We're also in the final stages of completing our inaugural’s sustainability report, which we expect to be released during Q2, which will document our numerous environmental, social and governance initiatives in supportive - increased accountability, transparency, and reporting across the industry. We remain committed to improve our practices and contributions to sustainable development for the benefit of all of our stakeholders. With that, we are happy to take questions at this time, and back to you operator.
Operator: [Operator Instructions] Your first question comes from the line of Tom Gallo.
Tom Gallo: Congrats on the quarter. Darren just for you, you mentioned progress on the land purchases at Eastern Borosi. Could you maybe provide a little bit more detail on how that relates to the expected front half weighted capital?
Darren Hall: Yes, Tom, thanks for the question. Thanks for joining the call. It's a rapidly evolving situation in the Eastern Borosi. I mean - in the last quarter we've identified this exciting opportunity. We have initiated land purchases. And when we provided full year guidance, we saw things being H1 weighted. We still see that happening. But as we advance Eastern Borosi, it's likely that we could see additional capital spend in the back half of the year as we work through accelerating the development of Eastern Borosi. And I think we'll be in a position later in Q2 early in Q3 to provide a more fulsome update of what that spend will look like over the next 18 months.
Tom Gallo: Okay, very good that's helpful. And then just one other one from me and it was just because I didn't catch it. The Pavon stockpile that you guys are building can you just repeat the tons and grade of that?
Darren Hall: Yes, Tom I don’t think we actually reported the tons and grade, but from memory. I think we're looking about 60,000 to 74,000 tons at the end of the quarter at roughly 3.5 grams. John, is that reconcile with your numbers?
John Seaberg: Yes, sorry. Yes so - Darren you’re about right. It total about 8,500 ounces Tom was in stockpile at the end of March.
Tom Gallo: Okay.
Darren Hall: 75,000 tons yes, the math works around right, but I just got the ounces it’s about 8,500 we had, just shy 14,000 ounces at the end of December. So we processed a significant amount of that year end stockpile at Pavon.
Tom Gallo: Okay, maybe just one more since I've got you on the line on John. The asset breakdown of costs like, I can't see that in the MD&A. Maybe I'm just missing it, but do you guys have that or are you not providing that anymore and just doing it on a consolidated basis?
John Seaberg: No, it's actually in the MD&A on - the table on Page 15 that breaks down the sustaining and non-sustaining capital.
Tom Gallo: Amount like a cash and - like cash per hours…
John Seaberg: We break it down and you're talking to cash spent on CapEx and PP&E.
Tom Gallo: I'm talking about like cash cost per ounce from Limon, cash cost per ounce Libertad.
John Seaberg: Oh, sorry yes, yes so I apologize Tom. I understand the question. Now, we have moved to a one segment reporting really just to reflect how we manage and view the business. So we're no longer recording all-in sustaining costs per Limon or Libertad. There's no competition between the two we do it - it’s really one Nicaragua. We have 2.7 million ounces of surplus capacity or of total capacity and country and taken advantage of the synergies and then trying to maximize the value by [indiscernible] different areas. We've provided guidance in the same format. So going forward, we'll have the all-in sustaining cost just at the consolidated level, as well as the total cash cost.
Tom Gallo: Okay, perfect, thanks. I've taken up probably enough questions on the call. So I'll hand it over to anybody else. Thanks a lot.
Darren Hall: Always a pleasure Tom, thank you.
Operator: Your next question comes from Mike Curran.
Michael Curran: Good morning, gentlemen. Just a question from me, is it may be possible to get a little more color on the upcoming drill program on the Rio Tinto JV ground? I guess what I'm looking for is, that 5,500-meter drill program, five different targets. What kind of depth are you drilling at those targets are they all pretty near service or are you punching from 500 meter holes give little color there?
Darren Hall: Mark, if you could pick that one?
Mark Petersen: Sure, happy to respond? That's a great question. This initial program that Rio Tinto has designed and we are executing on their behalf is really designed to test the top five, copper gold and copper moly, potential porphyry centers that Rio's team identified through an exhaustive targeting exercise they did last year. Hole depths to your question about that are on the order of 200 to 250 meters per hole. So that's a pretty good depth. And the objective is to get a bite into a demonstrably mineralized body of porphyry style mineralization. There is plenty of smoke in the entire region. And as some of us on the call may be aware, the golden triangle has produced quite a bit of gold from a variety of deposit types. All of which you find in the porphyry environment. I would expect, but until we do it with a good solid porphyry style drill intercepts, I would expect that drilling will progress to deeper levels once we have something to target at those deeper levels.
Operator: The next question comes from Geordie Mark.
Geordie Mark: Maybe we can extend on Tom's question earlier, in terms of Pavon any insights so far in terms of initial reconciliation through the mill and given the commercial production, I guess, was in March, did you capitalize any of the revenue through there or how did you flow that through the cash flow?
Darren Hall: Yes, hi Geordie, how are you? I'll let John fill the financial question there. But in terms of reconciliation, yes we're early into deposit, but we are seeing very favorable rates in terms of mining. And we have seen more ore than what was planned from the material we've mined now, it's only early days. But that's far, the performance of the models have been very favorable and we look forward to a positive Q2. So from that perspective, and that has influenced some of our financial accounting, which I'll pass over to John to talk about.
John Seaberg: Yes, thanks Darren. Hey Geordie, how are you doing? Yes, so we're essentially in ore almost the very beginning at Pavon. So whatever ore we got trucked and processed went through revenue, and the mining cost we went through production costs. And then we used the inventory method so whatever sitting on the ground and stockpile is sitting on the balance sheet and inventory and we'll get flushed through the income statement when we tuck it over and process it through the mill.
Geordie Mark: Okay, thanks. And maybe if I can extend on your answers Darren. When you were talking about more ore materials that more obviously - more material defined outside of reserves, but inside the total resources or in addition to the defined resource boundaries as well?
Darren Hall: It’s a material increase over the resource model. A significant portion of our Norte is already an indicator of massive reserve. So the extra material we saw was because basically, solicitation was higher up in Atravesada than what we anticipated. So we got more ore and we actually saw a positive in grade as well. So as soon we’ll increase in ore tonnage, and a positive reconciliation on grounds. So again, as we get into the core of the ore body we’ll develop a more appropriate forward-looking reconcilable history. But you know that's how the deposit is over performed against expectations.
Geordie Mark: And maybe a question on your revised pricing contract for power, that we're already seeing that in the Q1 financials, the power was down materially 600,000 year-on-year. Is that part of that contract, or also part of the lower throughput levels as Libertad?
Darren Hall: It was primarily as the consequences of the revised power costs, the reduction of around 25% that we've seen on currently contracted prices versus average 2020. About half of that was actually realized in Q1. We actually had two contract negotiations, one of them was effective January 1, and the second one was effective, unlike April. And the net of those two impacts is a 25% reduction. So some of it was both built into Q1 and some of that will be Q2 going forward. 
Operator: Your next question comes from Justin Stevens.
Justin Stevens: Most of what I wanted to ask is what had been covered off, but a couple last ones here. What's the timeline for the ramp up of mining at Pavon? Should we expect a fairly steady growth in tonnes hauled from 1,000 tonnes despite at the end of the year? Or is there going to be a step change probably at some point?
Darren Hall: Hi, Justin, thanks for the question. I mean, we had a very solid quarter, and averaged about 350 tonnes per day over the quarter. And we're going to have a nice methodical ramp up in production during the course of the year, and anticipate being around 1,000 tonnes a day by the end of the year. It won't be a step change. It's important that we do this responsibly. It's a critical part of our business going forward. And as part of our social license, we want to ensure that, it's kind of hard to like. So we're looking forward to ramping that up and as for [indiscernible], we've had a very positive mining staff, and we're actually building inventory. So there's lots of pressure on that haulage to get more material over the Libertad quicker. But, yes, we'll definitely be ensuring we're doing it in a responsible way and maybe taking a long-term view there.
Justin Stevens: So relatively smooth increase should be pretty easy doing to do then.
Darren Hall: That's a big deal…
Justin Stevens: The only other question I had is, is there a plan to treat the Panteon or that will be coming out here at Limon? Or is it more likely to get tracked down to Libertad?
Darren Hall: It doesn't really matter where it get struck Justin, the way because of the mineralogy of the deposits is relatively agnostic as to what material goes with. So on the day, the operations will make the best decision or where that material gets processed. In all likelihood, the folks at Limon will want to try and hold on to the material coming out of the [indiscernible] will be the highest grade material. So they'll preferentially want to process that and then lower grade material a little bit. But it doesn't have to be sent to either facility. So it'll be where it makes the most sense on the desk.
Operator: There are no further questions at this time. I will now turn the call back to Darren for the closing remarks.
Darren Hall: Yes, thanks everybody. And thanks to Tom, Mike, Geordie and Justin for your questions this morning. And as always, Ryan, I, and the leadership team are available as required. And we just like to take the opportunity to let everyone stay safe, take care, and we look forward to talking to you soon. So back to the operator. Operator, we'll pass it back to you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.